Operator: Good morning, ladies and gentlemen, and welcome to the Spirit AeroSystems Holdings Incorporated’s First Quarter 2021 Earnings Conference Call. My name is Jamie and I'll be your coordinator today. After today's prepared remarks, there will be an opportunity to ask questions.  Please also note, today's event is being recorded.
Aaron Hunt: Thank you, Jamie, and good morning, everyone. Welcome to Spirit's first quarter 2021 earnings call. I'm Aaron Hunt, Director of Investor Relations. And with me today are Spirit's President and Chief Executive Officer, Tom Gentile; Spirit's Senior Vice President and Chief Financial Officer, Mark Suchinski; and Spirit's Executive Vice President and Chief Operating Officer, Sam Marnick. After opening comments by Tom, Sam and Mark regarding our performance and outlook, we will take your questions. Before we begin, I need to remind you that any projections or goals we may include in our discussion today are likely to involve risks, which are detailed in our earnings release, in our SEC filings and the forward-looking statement at the end of this web presentation. In addition, we refer you to our earnings release and presentation for disclosures and reconciliation of non-GAAP measures we use when discussing our results. And as a reminder, you can follow today's broadcast and slide presentation on our website at investor.spiritaero.com. With that, I would like to turn the call over to our Chief Executive Officer, Tom Gentile.
Tom Gentile: Thank you, Aaron, and good morning, everyone. Welcome to Spirit's first quarter results call. A year ago, we were contending with the unprecedented disruption and uncertainty from the continued 737 MAX grounding and COVID-19 pandemic. Since then, the FAA lifted the 737 MAX grounding order and shortly after that the aircraft resumed commercial service. Today the 737 MAX is certified in the U.S., U.K., Europe and many other parts of the world. Additionally, Boeing has secured several new orders from airlines, including large orders from Southwest, Alaska Air and Ryanair, who will take delivery of their first newly certified 737 MAX 8200 aircraft in the near future. The COVID-19 pandemic has had a significant global impact. The aviation industry saw more than 19,000 aircraft grounded and air traffic down more than 95% at the worst point last April. Thanks to the tireless efforts of many to mitigate the severe impact of COVID-19, we believe we are now on the path to recovery. We continue to see encouraging news on the return to commercial air travel with domestic routes, primarily flown by narrow-body aircraft leading the way. In the U.S., the TSA checkpoint travel numbers have been consistently staying above the 1 million mark since early March and more recently, we have seen many days above 1.5 million travelers, including 1.6 million travelers last Sunday.
Sam Marnick: Thank you, Tom. The integration of our three newest sites is progressing to plan. To date, we have completed roughly 80% of the 450 tasks we have identified to capture synergies and integrate the operations into Spirit. Some of the remaining tasks such as exiting the information technology transition services agreement will take longer by plan design.  A large part of our integration focus is capturing the synergies which we projected to be 6% of revenues. Based on 2021 revenues that are expected to be $700 million, we estimate the synergies to be $42 million. The areas we are focusing on include A220 wing costs, supply chain, infrastructure and engineering. We are on target to achieve the $42 million and perhaps even exceed it by 2023.  In the period beyond 2023, we are identifying additional productivity opportunities. In addition, as part of our integration, we are evaluating the Belfast pension plan and our informal consultation with the employees and the unions on this matter. The current plan is close to new participants and we are evaluating closing the plan to future accruals and replacing it with a defined contribution benefit plan.  Another significant part of this acquisition was a strong aftermarket business. Our Belfast and Dallas sites are now key pieces of our aftermarket revenue growth plan. While we've seen some COVID-related headwinds to the aftermarket business in the near-term, the combined team is working to transfer repairs between sites and strengthen customer relationships as air traffic recovers.  In the first quarter, some of our activities including moving tooling and rotables to Belfast to support Boeing programs. Our Belfast operations have recently completed their first Boeing 777 thrust reverser repair. To grow the aftermarket business further, we recently announced that we acquired the assets of Dallas-based Applied Aerodynamics, which provides radome and flight control surface repairs. 
Tom Gentile: Thanks, Sam. In addition to diversifying into aftermarket, we've also been accelerating diversification into defense programs. After growing almost 20% in 2020, we expect our defense business revenue to grow 15% in 2021. The excess commercial capacity we have in our wide-body factories, especially those that produce composite structures provide us with immediate capacity that we can repurpose to defense programs.  We have been fortunate to win positions on several new classified defense projects. We believe we are on track to achieve $1 billion of defense revenue by the mid-2020s with typical defense margins. The programs of record for where we have work content will generate approximately $6 billion of future revenue.  In addition to diversifying our business, we've also been focused on delevering to reduce the additional debt we have accumulated during this pandemic period. One step we took was to repay $300 million in floating rate notes in February. Our next debt maturity is $300 million in 2023. We also have other pre-payable debt that could be retired as part of our objective to repay $1 billion in the next three years as production rates recover and we start generating positive cash flow. We believe these debt-reduction actions along with increased production rates will help us regain our investment-grade credit rating. Our efforts to drive margins are also progressing well. In Wichita, the new automated floor beam assembly line that we discussed in the last call, is now operational. And in our Prestwick site, we produced the first shipsets of A320 spoilers using a resin transfer molding process and we'll ship those to Airbus in mid-May. Both of these narrow-body manufacturing lines will help drive the margin improvement back to our target of 16.5% as production rates recover. Now, I'll turn the call over to Mark to take you through our detailed financial results. Mark?
Mark Suchinski: Thank you, Tom and good morning everyone. I hope everybody is doing well and staying healthy. We continue to see 2021 as a bridge year for our Spirit and commercial aviation industry. While the wide-body programs will remain a headwind for the next few years, domestic air travel in many regions of the world is trending in the right direction, which is an encouraging sign especially for narrow-body aircraft.
Tom Gentile: Thanks, Mark. First quarter of 2021 was challenging, as we managed through the wide-body rate reductions and investments that we have made to improve quality. As a result in the first quarter, we had a higher rate of cash usage than we expected. With domestic travel recovering faster in the US and China, we expect that narrow-body production rates will continue to improve. Spirit will benefit from this trend, since 85% of our backlog is narrow-body aircraft. In 2021, we are planning to deliver about 160, 737 MAX shipsets as Mark just said, which is more than double what we delivered in 2020. We expect our free cash flow usage for the year will be between $200 million and $300 million. We also believe that we are still on course to be cash flow positive in 2022. Our diversification efforts continue with growth in our aftermarket and defense businesses. The acquisition of the assets of Applied Aerodynamics and the establishment of the JV with EGAT in Taiwan will help accelerate the growth of the aftermarket business to $500 million by 2025 at accretive margins. We believe our defense business revenue is on track to grow 15% this year, after growing nearly 20% in 2020. We also continue to make good progress on our efforts to delever and to continue driving toward margins of 16.5%. With that we'll be happy to take your questions.
Operator: Ladies and gentlemen, at this time we will begin the question-and-answer session.  Our first question today comes from Carter Copeland from Melius Research. Please go ahead with your question.
Carter Copeland: Hey, good morning, team.
Tom Gentile: Good morning, Carter.
Carter Copeland: Just a question, Tom just a clarification on this. On the 787 forward loss and these fit-and-finish issues, do you guys have any potential recourse there longer term, or can you kind of specify, are those your fit-and-finish quality issues or are they simply schedule related to the broader problem? I'm just sort of wondering if you guys don't have those specific issues, if there's any way to get recourse on that as it's a broader problem at Boeing?
Tom Gentile: These are our issues on our section, the Section 41, which is the forward Fuselage. So at Boeing's request, we did an audit of the Section 41, all the different areas that we build and we identified some similar fit-and-finish issues that they had identified on other sections of the aircraft. And so the rework and the forward loss related to that rework that we reported this quarter is related to us doing the rework on those units but on our section.
Carter Copeland: Okay. I want to make…
Tom Gentile: So there's no recourse per se in that sense.
Carter Copeland: Okay. Great. That’s clear. Okay. I’ll stick to one question. Thanks.
Tom Gentile: All right. Thanks, Carter.
Mark Suchinski: Thanks, Carter.
Operator: Our next question comes from Myles Walton from UBS. Please go ahead with your question.
Myles Walton: Thanks. I'll pick up where Carter left off. On the A350, the charge you took there, I think you mentioned lower assumed production rate signals from Airbus, I'm just curious, what the signal is. And is it about the rate or about the duration of the rates? And also, can you just clarify on the $1 billion debt pay down over the next three years. Is that inclusive of the $300 million you just paid down, or is it $1.3 billion from 2021 onward?
Tom Gentile: All right. Well, I'll take the first one. On the A350 – about half of the forward loss on the A350 about $15 million was related to schedule changes. And just as kind of an interesting point is Airbus and even Boeing, when they talk about rates, they might not change the rate, but it doesn't mean that the schedule doesn't change. And in this case on the A350 the stated rate stayed the same, but Airbus did pull units out of the schedule both this year and next year 9 or 10 out of our schedule. And because the program was in forward loss even though some of those units are from next year, it caused the forward loss in this quarter. And so that's just – it's very common as the rates might not change, but because of furloughs or vacation schedules or could be any number of things, they end up producing fewer aircraft and therefore the production rates change. So that's what happened on the A350. The rate didn't change, but the amount of units that Airbus is asking from us did change this year and next year. And then on the I'll – 
Myles Walton: Sorry, Tom. Just to kind of clarify. So they're just floating blank through but there's no change to the rate and the duration of that rate. Is that fair?
Tom Gentile: The rate didn't change, but they just are requesting fewer aircraft from us. So they might have a furlough of two or three weeks spaced in. So yes, it's essentially blank. That's exactly right. That's the way to think of it.
Myles Walton: Thanks.
Tom Gentile: And then on the debt question Mark, maybe you could just quickly -- 
Mark Suchinski: Yeah, sure. Yeah, Myles just historically at the higher production rates, the monthly production rate was fairly consistent. With all the volatility with the pandemic and some of the airlines you're seeing these small adjustments in the schedule that have an impact and that's really what has been going on – on the A350. I think Tom explained it quite well. As it relates to the debt, the $1 billion it starts with the $300 million that we just prepaid here in the first quarter. So that means over the next call it two and half years, we've got another $700 million to go as we think about our three-year plan to pay down $1 billion of debt.
Myles Walton: Thanks so much.
Operator: And our next question comes from Sheila Kahyaoglu from Jefferies. Please go ahead with your question.
Sheila Kahyaoglu: Good morning, guys. Thank you.
Tom Gentile: Good morning.
Sheila Kahyaoglu: Can we talk about free cash flow? In Q1 you used $200 million. Your guidance is $200 million to $300 million for the year. You mentioned in your prepared remarks narrow-body rates are a lot to do with it. Is there a breakeven when we think about the MAX in terms of production per month? Whether it's on the operating income side or free cash flow that helps you bridge to that free cash flow guidance?
Mark Suchinski: Yeah. Good morning, Sheila. We've talked about this a few times on calls in the past and really, when we look at where our cost structure is today and some of the factory improvements and efficiencies that we've built into the line we're really thinking about breakeven and obviously 737 is a very helpful component to that in the high upper 20s low 30s on the 737 program. If we can get to a rate like that, that will definitely help us on the earnings and the cash flow side of things.
Sheila Kahyaoglu: Okay. Thank you.
Mark Suchinski: Okay. Have a good day.
Operator: Our next question comes from David Strauss from Barclays. Please go ahead with your question.
David Strauss: Good morning, everyone.
Tom Gentile: Good morning.
David Strauss: So on the – on the MAX, Tom, just wanted to kind of reconcile this. So you're saying 160. So if we had perfect visibility into what Boeing was actually producing that number would be around 220. I guess, that's my first question given the burn down you're talking to. And – because in Q1 it doesn't look like you actually – any of the inventory was burned down. It looks like they produced about 30. And then could you also just touch on 787 and the idea that you can hold rate there given I think over the course of last year Boeing has produced some – or you guys have produced something like 125 shipsets while Boeing's only delivered like 50 airplanes? Thanks.
Tom Gentile: Right. So, on the MAX, our plan that we have described including the outlook for free cash flow of $200 million to $300 million is really based on us producing 160 units this year. Now, we said in the past, we're going to be producing over time, for the next 18 months or so, fewer units than Boeing as we burn down the inventory that's here in Wichita and in Tulsa. So, Boeing has said that their production rates are going to get up to 31 by early 2022. So we will continue to lag them and burn down the buffer. And as I said in my remarks, we will get that buffer down to the target level of about 20 units in a permanent buffer that we'll use as a cushion for the production system. So that way, as we go forward, we will avoid disruptions. And so, that's the way, it lines up. But we just wanted to be clear with everybody that we're building our plan this year around a production delivery to Boeing of about 160 units and that supports the $200 million to $300 million free cash flow. On the 787, you asked about the production rates. And even though there was this engineering analysis and there's some rework, we have held to our schedule. So the schedule was to deliver 15 units in Q1 and that's what we did deliver. And we are also holding to our schedule in Q2. So, on the new build schedule, Boeing hasn't changed that schedule and we are still on track to meet that schedule for this quarter and the remainder of the year.
David Strauss: Thanks very much.
Tom Gentile: Thank you.
Operator: Our next question comes from Seth Seifman from JPMorgan. Please go ahead with your question.
Seth Seifman: Thanks very much, and good morning.
Tom Gentile: Good morning.
Mark Suchinski: Good morning
Seth Seifman: Just following up on that last one with the MAX, is your plan for 160 is that firm, or to the extent that there were changes at Boeing related to certification timing and stuff like that, is that subject to change?
Tom Gentile: Well, typically and we're not in a typical time, any production schedule changes are relatively rare and there's significant lead time on those. Now, with the pandemic last year, there were lots of changes on all the programs. And so, the schedule could change still, because it's a very dynamic environment. There's still uncertainty out there. Air traffic has not completely recovered. But that's the schedule that we have right now. And we're in May already. And so that's what we are working with. And Boeing has indicated that that's what they're still planning. But again, with all the uncertainty in terms of air traffic and recovery with the pandemic, it could change. Now as we said in the opening remarks, we are seeing some encouraging signs of domestic travel in the US and in China, which is good for narrow-bodies. On the other hand, Europe still seems to be uneven. So, it could change, but we have a reasonable degree of confidence at this point in the year that's going to be the schedule that we hold to for the remainder of the year.
Seth Seifman: Okay. Thanks very much.
Operator: Our next question comes from Robert Spingarn from Credit Suisse. Please go ahead with your question.
Robert Spingarn: Hey. Tom, just sticking with the 37, if I think about all the numbers you've given us, the 29 in Q1 and the 160 for the year, it would seem to me that if you ramp linearly, you can't really go up more than two or three aircraft per month per quarter, and exited about something less than 20, maybe close to that where you'd overproduce. You'd build more than 160. Am I thinking about that correctly?
Tom Gentile: Well, I think what you're thinking about absolutely correctly is that a production system like ours has certain limitations about how fast it can go up in rate. And so, typically, these things are all planned out years in advance. And in this case, they are as well. We have a longer-term schedule with Boeing that we've been working with and planning in terms of scenarios. But our production system is a complicated one. It's -- we've got a supply chain. There are almost 40,000 different parts on a 737 MAX Fuselage, for example. So quite complicated. And so for that reason, we have to plan these schedule breaks well in advance. Now, one good thing ironically is that this buffer that we have here in Wichita actually provides a cushion that allows us to move the production schedule a little bit more than we would have been able to in the past. So, we have some flexibility and we will be able to go up in rate a little bit faster than before because of that.
Mark Suchinski: Yeah. Rob math-wise, you're spot on as how you're thinking about things.
Robert Spingarn: Okay. All right. Well, that's helpful. And just one other thing on this. Are you sensitive in your plan to what happens with China recertification on MAX, or do we think about what Boeing said, which is they can get through this year with or without it but the problem is after that? In other words, I assume that means they can move others into position for this year. And so this year's plan is relatively protected regardless of China.
Tom Gentile: Yes, we heard the same thing from Boeing on their earnings call and that's what we believe.
Robert Spingarn: Okay. Thank you both.
Tom Gentile: Thanks Rob.
Mark Suchinski: Thank you.
Operator: Our next question comes from Ken Herbert from Canaccord. Please go ahead with your question.
Ken Herbert: Hi, good morning.
Tom Gentile: Good morning Ken.
Ken Herbert: Tom, I just wanted to follow up on some of your comments on defense. First, as you repurpose some of your capacity, how quickly can that be revenue generating on defense programs as you win those? And is there any risk down the road that as wide-body production eventually comes back you could be looking at some capacity issues? I'm just trying to get a sense as part of your defense growth, how much upside could there be from incremental work relative to what you've established in the programs of record?
Tom Gentile: Right. Well, in terms of the programs that we're winning, the classified program is they're still in the early stages of their development and then they'll go into low rate initial production. So it's probably within about two years when they'll be revenue-generating. It varies but that's a good rule of thumb. And the good news is that one of the reasons we're able to win it is we have some of this equipment that's available now. It's like automated fiber replacement machines, autoclaves, automated fastening, nondestructive inspection these kinds of large pieces of capital. So that's in terms of how we're using it to win the defense work and it will be revenue generating in say the next two years. In terms of recovery in the future, we are protecting to the rates that we've committed to the OEMs and so we're taking that into account. We'll have plenty of lead time to make sure that if we do need to make any adjustments or expand any facilities that we can do that. But as you know with international traffic down, and business traffic still down, it's going to take a while for the international traffic to recover, and therefore, for wide-body production to recover. And in some cases, it may not get up to the same levels that it was up at before the pandemic. And so that capacity could be permanently available. But regardless, if it does return to the same levels, we will make sure that we are protected for that with the commercial OEMs.
Ken Herbert: Great. Thank you.
Tom Gentile: Thank you.
Operator: Our next question comes from Doug Harned from Bernstein. Please go ahead with your question.
Doug Harned: Thank you. Good morning.
Tom Gentile: Good morning.
Doug Harned: I wanted to think back if we go back to pre-pandemic, pre-grounding, we were looking at production rates of 57 a month on the MAX, 14 a month on 787, 10 a month on the A350. So when you talk about going longer term and getting back to 16.5% type margins, what kind of a rate is that predicated on for these programs?
Tom Gentile: Yeah. That's a very good question Doug. And one of the things that we see, MAX is our biggest program. And so that's the biggest driver. And who knows what the future holds in terms of how high Boeing ends up going with that. But in terms of getting to the 16.5% margin as Mark said, the breakeven point is a little bit lower in terms of what MAX production would be. And so if we get it back up to 42, which is where we were in 2016, we think that that would be a rate that would be high enough and we could achieve some stability. That that would put us in a position to get back to those 16.5% margins overall. Now that takes into account the fact that there's headwinds on things like the 777. So back in 2016, 777 rate as you might recall was 8.3 aircraft per month and 787 rate back then was 12 per month and A350 was nine per month. Now on the wide-body programs, you mentioned that 787 was at 14, A350 was at 10 and that's right. So today 787 is at five and A350 is at about five or effectively a little bit less with some of the schedule changes. And so if those don't get back up to the same rates, one of the things that we are doing is using some of that capacity for defense work to offset the fixed costs absorption. So, again, even if they don't get back up to those previous levels, we still think we'll be in a position to deliver that 16.5% margin with the narrow-body rates on the MAX as an example being at the 42 range.
Doug Harned: If I can -- go ahead yes.
Mark Suchinski: Yes, Doug just real quick. I think the other difference that's really -- although, the wide-bodies are going to be a bit of a challenge over the next couple of years, the size of our defense and aftermarket business by the time we get to 2023, 2024 is substantially more significant than it was back in 2016. And so aftermarket is definitely going to be accretive to the margins above the target of 16.5%. Defense revenues will be very solid. Significantly higher than it was back in 2016 and the normal defense margins will help as well. So, although, the wide bodies and the 777 will be a bit of a headwind and not contribute as much as it did back in 2016, I think, the defense and aftermarket diversification and growth along with stronger 737 production rates in the A320 continue to go up gives us a really good shot to hit those 16.5% margins. Sorry for interrupting.
Doug Harned: So if I -- no that's okay. It's very helpful, because if I can just clarify one thing. Back in normal times you would -- Spirit would share operating leverage, those would benefit both sides of it with the customer. And now we're obviously in very different times so rates are way down. And back then you probably would have gotten a benefit on pricing when rates came down. Now when you look at these lower rates as you go forward, do you see pricing as being different for the wide-bodies for the MAX than you might have before? In other words, can there be benefits at these lower rates for you?
Tom Gentile : Right. Well, the pricing on all the programs for Boeing and Airbus is more or less set out into the future based on some of the negotiations that we did. So -- but on the MAX, one of the things that we did with Boeing is pricing goes out to 2033, but it is indexed to rate. So at the lower rates, the price is higher for Spirit. And then when the rates go up then the rates get lower for Boeing. But at lower rates, obviously, there would be a pricing benefit. That's just the way the pricing is tiered on the 737 MAX. On the other programs it's more or less fixed and it's set out on the -- for example, on the 787 program pricing goes out to 1805. And…
Mark Suchinski: But we do get a step-up at 14.
Tom Gentile: We get a step-up at 1405, correct. And on A350, the pricing goes out to line unit 1600. So those programs are all very well far out into the future. And the MAX pricing goes up to 2033, but it's indexed to rate.
Doug Harned: Okay. Thank you very much.
Tom Gentile: You’re welcome.
Operator: Our next question comes from Hunter Keay from Wolfe Research. Please go ahead with your question.
Hunter Keay: Hey, thanks. Just a follow-up on that question. Have you ever Tom renegotiated or opened up existing contracts as part of a broader negotiation, when negotiating work on future contracts forward? Is that something you expect might happen again if it has in the past?
Tom Gentile: Yes. I mean, I would say, negotiations in our industry are dynamic and kind of continuous, and so there's always discussions on them. But as I said, on all of our programs and this was a big accomplishment in 2017 and 2018 is we negotiated very long-term contracts with Boeing and Airbus on all the programs going out either to line units far into the future or to a specific time period like 2033 for the MAX. So those are locked in and we are now driving all of our productivity improvements things that I've talked about in the past about digitizing our factories, driving world-class competitiveness in our supply chain, continue to lower our overhead and optimize our fixed costs. So, all those things are things that we're working on to improve our productivity now that we have our pricing locked in place with Boeing and Airbus on all the programs far and into the future. 
Hunter Keay: Thank you.
Operator: Our next question comes from George Shapiro from Shapiro Research. Please go ahead with your question.
George Shapiro : Yes. I wanted to know in the next several quarters, how do you get effectively close to breakeven cash flow when you got minus $200 million in the first quarter here? And I think you still have like $130 million pension payment to Bombardier. I think the Boeing advances actually deferred to 2022. But if you could just kind of walk through a little bit of that. 
Mark Suchinski: Sure George. I think as we said we're going to -- we're forecasting cash flow usage in the year of somewhere between $200 million to $300 million and that includes the cash tax benefit. So if you exclude the cash tax benefit that would suggest our cash flow usage from the year would be somewhere between $500 million and $600 million. The first quarter was a tough quarter for us. It came off of lower deliveries in the fourth quarter. So, some of our receipts were a tad bit lower than we're projecting for the rest of the year. We're seeing narrow-body rates start to recover or increase here in the second quarter and into the back half of the year. And that will provide us some receipts lift as well as kind of managing and destocking our inventory over the course of the next over the next nine months here. So we think that the first quarter is going to be our toughest quarter as it relates to cash flow usage. Second quarter we're -- at this stage of the game, we're seeing some good trends. We expect to continue to see improvement as we move into the third and fourth quarter. There's still with the pandemic some choppiness that are going out there. But we should see incremental improvements in our cash flow usage over the course of the next three months. And then as we talk about how do you get to cash flow positive, a lot of that is going to be highly dependent on the commitments by the OEMs specifically on 737 getting to 31 aircraft per month next year and Airbus meeting their targets of 43 shipsets per month 45 ships per -- shipsets per month in the fourth quarter. And so the narrow-body recovery as we move into 2022 we believe provides us the path to cash flow positive. 
Tom Gentile: And I would add one other thing George which is on working capital specifically inventory. Last year there were so many production rate changes and they happened so suddenly, we ended up accumulating a lot more inventory. Now the positive to that of course is that, it helped the supply chain. They had cash flowing into them last year. But this year we've seen some destocking starting. So we're not placing orders as rapidly this year because we're able to burn down that inventory. And so our working capital efforts are very significant very rigorous and that will also help us achieve cash flow improvements over the course of this year into next year. 
Mark Suchinski: I hope that helps George? 
George Shapiro: Yes. I thought units on that working capital number, Tom I thought on the fourth quarter Mark had said somewhere you would expect $400 million or $500 million of working capital liquidation. Is that a correct number yet? 
Mark Suchinski: I'm not quite sure we were that specific. I think what we said in 2020 that working capital consumed about $500 million of cash in 2020. And we expect that from a working capital standpoint as Tom just indicated we're going to get some benefits from destocking the inventory. We're going to consume the inventory. We're not going to have to restock. We're managing our Min/Maxs very tightly. Our very -- our deterministic PO placement is all in alignment. We provided a lot of support to our suppliers last year. And this year we're really going to get focused on days on hand inventory turns and a lot of that benefit will happen in the back half of the year. As the single-aisle production rates increase that will help accelerate the destocking. Obviously the -- you saw that we delivered 29 units on the MAX in the first quarter. We expect to deliver higher than that in the second third and fourth quarter and that will help us as we consume some of that extra inventory which will free up some cash as we move forward through the balance of the year. 
George Shapiro: Okay. Thanks a lot.
Mark Suchinski: Okay. Sure, George.
Operator: Our next question comes from Kristine Liwag from Morgan Stanley. Please go ahead with your question.
Kristine Liwag: Hey good morning guys. 
Mark Suchinski: Hi, Kristine.
Kristine Liwag: Tom can you provide more details on the size of potential earnings upside to your joint venture agreement with Evergreen? And also how should we think about priorities for cash usage regarding debt pay down versus pursuing more aftermarket either through partnerships like this or through M&A? 
Tom Gentile: Right. Let me turn it over to Sam to talk about the EGAT JV and then I'll address the issue on capital allocation for M&A and debt. 
Sam Marnick: Right. In terms of EGAT JV we haven't talked about or disclosed expectations regarding revenue. Really what it's about at this point Kristine is building our scope and our bandwidth across regions. It's about taking our repair portfolio across to the Asia region and that's what this JV primarily is about right now and we're in the initial stages of forming the JV as well. 
Tom Gentile: Yes. But as Sam said what it gives us now is the third leg to the stool is we have Boeing repairs, we have Airbus repairs now with Applied Aerodynamics, we have radome repairs and cargo door repairs as well as flight control surfaces. And we have those in Europe we have them in the US and now with EGAT JV we have them in Asia. And so it gives us a very nice balanced overall program. Now with regard to our capital allocation in terms of debt versus inorganic growth the primary focus as we have discussed is to delever and to use cash flow over the next couple of years and cash on hand to pay down our debt on the schedule that Mark talked about. So another $700 million over the next couple of years. That said, we continue to look opportunistically at opportunities that arise in aftermarket or in defense that could be interesting. And if we see opportunities like we did with Applied Aerodynamics we'll take advantage of those and we'll allocate the capital. But to do that it would have to be obviously strategically fit with what we're looking for and have a good return profile. But we'll make those decisions on an opportunistic basis. But the primary goal and priority will be the debt delevering over the next couple of years. 
Kristine Liwag: Great. And then also when you look out a few years on aftermarket do you have a target size that you want it to be as a percent of your overall portfolio? 
Tom Gentile: Well we've said we want it to be the $500 million by 2025. But if we think about our vision for Spirit in the future as we think about diversifying into defense and aftermarket in an ideal world we'd be 40% commercial, 40% defense and 20% aftermarket. That would be a nice balanced portfolio for the future. 
Kristine Liwag: Thanks.
Operator: And our next question comes from Robert Stallard from Vertical Research Partners. Please go ahead with your question.
Robert Stallard: Thanks so much. Good morning.
Tom Gentile: Good morning.
Mark Suchinski: Good morning, Robert.
Robert Stallard: Good morning. Tom on the Airbus call last week the CEO was talking about their plans for a steep ramp-up in narrow-body production next year and potentially the year after that. And I was just wondering how well prepared is Spirit and your supply chain for such a steep ramp if it does occur especially when you're talking about sort of destocking some of your suppliers this year. This could be a pretty radical switch in trajectory for your supply chain.
Tom Gentile: Well, we feel very well-prepared. We've been working closely with Airbus. We very well-understand what their plans are for rate increases this year and next year and beyond and we are lined up with that. Now, of course, that means we have to work with our supply chain and have to work very closely. 65% of our cost base is with the supply chain and they are absolutely critical partners. We have a very detailed methodology for rate readiness that we are working with our suppliers. It's gated. There are dashboards. We have regular operating mechanisms to monitor it. But it looks at things like material orders. For the most part infrastructure capital, that's all in place. We have to make sure that they didn't mothball anything during this pandemic period, but those things for the most part are in place. The keys are the raw material orders and then also rehiring some of the labor to make sure that that's in place. And so we have a pretty rigorous mechanism in place with the suppliers. The other thing we've been doing is working closely with the suppliers to provide assistance. We've reached out and helped in a variety of ways almost 600 suppliers with close to $1.9 billion of support and that support includes contract extensions, inventory purchases, vendor financing programs, a variety of different mechanisms to provide support to them. So we are prepared for the Airbus rate increases and we believe our suppliers are prepared as well, based on our rate readiness efforts.
Robert Stallard: That’s great. Thank you very much.
Operator: Our next question comes from Noah Poponak from Goldman Sachs. Please go head with your question.
Noah Poponak: Hi. Good morning, everyone.
Tom Gentile: Good morning, Noah.
Mark Suchinski: Good morning.
Noah Poponak: How many MAX shipsets does your current plan have you delivered to Boeing in 2022? 
Tom Gentile: Well, at this point, it's too early really to project that. There's a lot of uncertainty in the market. We'll follow Boeing's lead and determine after we get through this year what next year is. But we'll wait to see what happens. It's still a very dynamic environment. 2022 seems like a long way out.
Noah Poponak: Okay. And does the news that FAA is asking for more analysis documentation on the electrical issues, does that change your pace of MAX shipset to Boeing in the near term here, or is Boeing's latest affirmation of schedule to you with the knowledge of needing to do that? 
Tom Gentile: Well, of course, anything the FAA does could impact the MAX situation. But we're not expecting it to change, the current outlook. Boeing hasn't made any indication that it would, but it's a dynamic situation. It could change it. But at this point we have no reason to believe that it will.
Noah Poponak: Okay. Thank you.
Tom Gentile: Thank you.
Operator: Our next question comes from Michael Ciarmoli from SunTrust. Please go ahead with your question.
Michael Ciarmoli: Hey. Good morning, guys. Thanks for taking the question.
Tom Gentile: Good morning.
Mark Suchinski: Good morning, Mike.
Michael Ciarmoli: How are you guys? Just on the topic of excess capacity costs, it looked like there was a reasonable sequential step-up from the fourth quarter. And I think you guys have been targeting to get those down 30% from that $280 million level last year. What are the puts and takes there? I mean, I'm imagining fewer A350s contributed to that. But how should we think about these excess capacity costs?
Mark Suchinski: Yes, Michael, let me walk you through that. You're exactly right. Our excess capacity costs were a tad bit higher here in the first quarter, compared to the fourth quarter. I would say, a couple of things contributed to that, with the recent acquisition of the Belfast site, the A220 program will have excess capacity costs in addition to the A320 and the 737. And one of the items that drove a little bit of pressure on excess costs specific to the 737 program is, we went through a bit of a rate break here in the first quarter, higher rate break and we had to bring on resources ahead of the higher delivery profile and that caused some additional excess costs to unload here in the first quarter. We are still committed to the 30% reduction year-over-year. We've got a line of sight to that. We expect excess costs to continue to trend lower in the third -- or in the second quarter, third and fourth quarter. Excess costs came really right on to what our projection was for the first quarter and we will expect to see significant improvement as we step up in rate on the 737 over the course of the next nine months here.
Michael Ciarmoli: Got it. Perfect. Thanks guys. I’ll keep it to one.
Mark Suchinski: Sure. Thank you.
Operator: Our next question comes from Peter Arment from Baird. Please go ahead with your question.
Peter Arment: Good morning Tom and Mark. Mark, just a quick one first. If you have it, do you have the acquired revenues for the first quarter? And then just Tom, related to employment levels, I mean outside of the Bombardier acquisition, how are you -- what kind of levels do you think you'll be adding back to this year? Any color you could give us on that and what you're seeing there? Thanks.
Mark Suchinski: Okay. I'll -- Peter, let me just jump on the revenue side of things. We're not going to specifically disclose the acquisition revenue. But the revenues for the year continue to hold out at roughly $700 million. I would say that, probably, slightly -- on a run rate basis, slightly higher in the back half of the year. But I think, that's pretty much how we see the acquired assets, as we think about the business jet programs, the A220 wing and the aftermarket revenues that we acquired.
Tom Gentile: Right. Yes, I'll take the employment question. Last year was a difficult year for Spirit with the dual crises of the MAX grounding and then the pandemic. We ended up having to reduce our commercial headcount by 8,000 workers across the world. Very difficult. Now, a little bit of an offset. On defense, we shifted about 800 people to defense, including a lot of engineers, as the defense program started to grow. As you may recall, we built ventilators last year. We built over 20,000 ventilators and that kept about 1,000 people employed, during the course of last year. But overall, the commercial programs lost 8,000 people. Now, this year, as we got into the year, you saw that the A320 numbers actually went down from 188 to 130 and wide-body programs went down in the first quarter as well. But that was offset by the narrow-body programs on the MAX increasing. So, we started to increase the production. So last year, we were at 18, this year we were at 29, and we're continuing to increase. So, we've actually started to call back workers in Wichita. So far to date between hourly and some salaried employees, we've recalled about 600 employees back in Wichita and we expect to recall probably double that over the course of the year. And the other thing is on 787 because, production rates went down. Last year, we were at 14, this year we were at five. We were expecting initially to have to reduce that workforce. But ironically and good for the workforce, the real work has required us to keep that workforce in place on the 787 and we'll keep that in place for some time. So, some good news in terms of the recall of workers, particularly in the Wichita area as the MAX production rates, start to recover.
Peter Arment: Good to hear. Thanks, Tom.
Tom Gentile: Thank you.
Operator: And ladies and gentlemen, with that, we're going to conclude today's question-and-answer session and conference call. We do thank you for attending today's presentation. You may now disconnect your lines.